Operator: Welcome to the RadNet, Inc. second quarter 2008 earnings conference call. (Operator Instructions) I would like to remind everyone today’s conference is being recorded, and now I would like to turn the conference over to your host [Andrew GreenBal].
Andrew GreenBal: One quick important announcement, that Mark Stoplher RadNet CFO cannot be with us this morning because happily he and his wife had their second child earlier this morning. So, big congratulations to them, but as mentioned he won’t be with us. Thank you, good morning ladies and gentlemen and thank you for joining us today to discuss RadNet’s second quarter 2008 earnings results. On the call, from the company today will be Dr. Howard Berger, Chairman and Chief Executive Officer of RadNet. Before we begin, we would like to remind everyone the Safe Harbor Statement under the Private Securities Litigation Reform Act of 1995. The following prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your question. These statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. For a more detailed discussions of the factors that could cause actual results to differ materially from those projected in any forward-looking statements, we refer you to RadNet’s recent 10-K for the 12 months period ended October 31, 2007. 10-KT for the two month period, transition period ended December 31, 2006, 10-K for the 12-months period ended December 31, 2007 and 10-Qs for the three month period ended March 31, 2007, June 30, 2007, September 30, 2007 and March 31, 2008 as filed with the SEC, and with that I would like to turn the call over to Dr. Howard Berger.
Dr. Howard Berger: Before I start, I would also like to add congratulations to Mark Stolpher and his wife Tracey who deliver their second baby boy about an hour and a half ago and mother and baby are doing fine and I’m sure all of you who are familiar with Mark would like to extent your congratulations on behalf, with the company along with us. So, I apologize for Mark’s absence, but it’s for a very good cause. Today I plan to provide you with highlights from our second quarter 2008 results. Reaffirm our financial guidance for full-year 2008 and discuss in more some of our recently announced initiatives and their future contributions to our company’s growth. After the prepared remarks, we will open the call to your questions. I’d like thank you again for your interest in our company and for dedicating a portion of your day to participating in our conference call this morning. Many of you have heard us discussed the numerous acquisitions and initiatives we pursued over the last six months. We were very active during the prior two quarters focusing on positioning our company for the future, this quarter was no exception. Our industry continues to be a dynamic one that is going through significant transition. The transition I speak about is a transition from an industry that has been dominated by mostly small, independent operators to one were scaled multimodality offerings and operating acumen has and we will continue to be fare amount of importance for the success. Prior to Deficit Reduction Act, operators were not as challenged to have efficient cost structures or have particularly strong volumes to survive. In the past, capital was inexpensive and readily available, reimbursement was sufficient. All this change with the introduction of the DRA last year and the (Inaudible) success in our industry has changed with it. Our team at RadNet has worked extremely hard over the last year and a half to position us as one of the few companies likely to be successful in the coming years in our industry. We are focused on growing and consolidating our existing markets, this has included the acquisition of smaller players in our markets. The expansion of existing centers and the building or repositioning of certain centers to focus on new opportunities we are pursing such as women’s health and interventional radiology. We have stayed true with our multimodality approach and our commitment to providing a one stop shop to our referring physician and patient communities. We have deepened and broadened our relationship with our radiologist partners some of them comprise some of the largest and mort capable groups in the country. We have refined and extended the capitation model with our medical group partners in California and we are in late stage negotiations to add re-capitation contracts to our operations. We have made substantial investments to upgrade our equipment across the company, including that of the businesses we have acquired in the last 12 months. This has included upgrading our sites with newer technology and intending to all of our acquired companies differed capital needs. We have been fully committed to digital technology such as X-ray and mammography. By the end of 2008 our company should be substantial fully digital in all modalities. We have invested LOE in the information technology infrastructure, which we believe is a requirement as we continue to grow. This includes our migration to one teleradiology networking system otherwise know as PACS, which should be completed towards year-end and our conversion to a unified billing system which we completed last year. We have increased our capital base even at times when it was expensive to do so. We raised $60 million into our existing credit facilities and have employed the use of capital leases to make our capital investments in the last 12 months. All of these accomplishments were the result of the objectives we pursued to position ourselves for future success. In addition to stretching our management team with numerous operational objectives, our business plan has required significant capital investment, as such we made difficult choices around the way, including the decision to raise additional capital in a very unfavorable credit market resulting in our debt becoming more expensive. We did so because we recognized that the opportunities we had and continued to have in front of us are too important and attractive and at this point we have been able to accomplish all of these objectives without diluting any of our shareholders through the rising of equity capital. This quarter’s results begin to reflect some of the progress from our strategy and investments. In Mark’s absence, I will also review the significant revenue in EBITDA improvement in the aggregate and on same center basis over the last years corresponding quarter as well as the first quarter of this year. When we issued our 2008 full-year guidance in conjunction with our fourth quarter 2007 results, we anticipated 2008 performance to ramp up throughout the year. Our second quarter results show that we are now on page to meet our 2008 full-year guidance. Last quarter I used the term inflection point, to describe where we were as a company, this referred to the fact that I believe that our financial results did not yet reflect the contributions from many of our recent initiatives and acquisitions. I now believe as illustrated from the second quarter results, we have begun to realize a portion of the benefits of our hard work and have started to move along our anticipated ascending curve. We are eagerly looking forward to the coming quarters, when we believe fully contributions from our efforts will be realized. We accomplished a great deal in the second quarter included some of the filing noteworthy achievements. One, we completed the integration of our digital mammography upgrade program in Maryland and Delaware. In the second quarter we began to see increase volume resulting from greater scanning capacity and throughput from these conversions. We also began to receive the anticipated increased reimbursement for the digital mammograms. Our physician partners are continually becoming more comfortable with the interpretation, manipulation and management of the digital studies. Two, completed de-acquisitions of six Southern California imaging centers from InSight Health Corp. All the six centers were uniquely position in markets we already had significant presence and provided us unique consolidation opportunities on which we executed in this quarter. In the case of two in the Conejo Valley, the InSight facilities were able to be closed and most of that revenue was moved to exciting RadNet facilities. We then redeployed much of that InSight equipment from these closed centers into the recently acquired Delaware centers, which were in need of upgrade. Three, we completed the acquisition of Simi Valley advanced medical center in Southern California based multi-modality imaging center, into which we consolidated another recently acquired InSight facility in the same market. By moving the InSight revenue to this newly required facility, we are eliminated the vast majority of the operational costs of the center and redeployed the InSight center equipment to another RadNet center in need of upgrade. Four, we purchased a longstanding successful in mammography practice into Van Nuys, California and moved it into a newly required InSight facility in Encino, California. In conjunction with this we’ve repositioned the center as a fully digital Women Centers, this Women’s Centers gives us mammography and related capacities and a market where we currently offer to all the other mortalities. Five, completed de-acquisition of an open MRI center and Ellicott City, Maryland although small in scale, the facility provides us capacity in the form on open MRI, which we had not offered to-date in that particular market. Six, became operational in three new centers, which replaced older and out dated facilities, which were restricting growth opportunities in several key markets. Seven and most recently, subsequent to the quarter end, we completed our first – second acquisition in Delaware since purchasing our top established platform company last quarter, this acquisition of the NeuroSciences Imaging Center into a Newark, Delaware gives us new sub-specialty capabilities in this market and is located in the medical complex, which houses the largest physician practices of neurologist and neurosurgeons in the state of Delaware. The acquisition further eliminates and needs to upgrade by MRI scanner thus decreasing future capital expenditure requirements. In addition, we will upgrade the existing CT unit, add that center to a PET/CT scanner, which will be available to service the expanding need for leading edge functional Pet neuro-imaging used in the diagnostic evaluation of degenerative brain diseases, such as Alzheimer's, as well as routine oncology PET/CT applications in that market. A common theme in many of these accomplishments sis the concept is eliminating unnecessary capacity in our markets and consolidating scan volume into fewer physio-centers. In addition to eliminating competitors when we consolidate acquired businesses into other RadNet centers, we eliminate the vast majority of the cost associated with the acquired revenue. A further benefit is that we can relocate acquired equipment to other RadNet facilities eliminating otherwise scheduled capital expenditures. We planned to continue to employ these consolidation strategies in the future as we see more and more of these types of the opportunities. Recent reimbursement and regulatory news has been favorable from both government and private payers. The passing of the Medicare Improvements for our Patient and Providers Act in July, replace the scheduled 10.4% cut to the Medicare Physician Fee Schedule with a 0.5% increase for the remainder of 2008. Additionally, the Act will require the accreditation of imaging centers by 2012 clearly designed to address the need to weed out low quality providers and those implying self referral arrangements. Furthermore in late July the Center for Medicare and Medicaid Services otherwise known as CMS proposed the 2009 Medicare Fee Schedule, which incorporates a slight increase in imaging rates for next year. Additionally, CMS proposed Hospital Outpatient rates, otherwise knows as HOPS that are slightly favorable to RadNet in 2009. Like CMS, we are observing that private payers are increasingly focused on stopping the abuses of self-referral and block leasing arrangements through the creation of more strict preauthorization processes and credentialing. As an example, united house credentialing program is schedule to go into effect later this year. We believe the trend to control authorization and certain abuse imaging centers, settings will continue and will ultimately have a positive impact on our volumes in the future. At this time, I would have passed over the conference call to Mark to discuss the highlights of our second quarter, but in his absence I’m sure I’ll do a somewhat inadequate job, but my best to carry on in his behalf. I’m going to briefly review our second quarter performance and attempt to highlights, what I believe to be some material items. I will also attempt to give some further explanation of certain items in our financial statements as well as provide some insights into some of the metrics that drove our second quarter performance. In my discussion, I will use the term adjusted EBITDA, which is a non-GAAP financial measure. The Company defines adjusted EBITDA as Earnings before Interest, Taxes, Depreciation and Amortization each from continuing operations and adjusted for losses or gains on the disposable of equipment, debt extinguishments and non-cash equity compensation. Adjusted EBITDA includes equity earnings in unconsolidated operations and subtracts minority interest in subsidiaries and is adjusted for non-cash extraordinary and one-time events taken place during the period. With that said I would like to review our second quarter results. For the quarter ended June 30, RadNet reported revenues of a $127.4 million. Revenue increased 19.1% from a $107 million from the same quarter of 2007. Adjusted EBITDA during the second quarter of 2008 was $25.7 million. Adjusted EBITDA increased 15.6% from $22.2 million from the same quarter in 2007. Overall, during the quarter, we performed 771,000, 374 total procedures as compared to 671,000, 717 total procedures for the same period in 2007, an overall increase of 14.8%. MRI procedures increased 13.5%, CT procedures increased 10.4%, PET/CT procedures increased 16.3% and routine imaging procedures which include X-ray, ultrasound, mammography and all other exams, increased 15.6%. On a same center basis, the metric we used to track organic volume growth, which measures sites only if they were open for the full periods in both 2008 and 2007, MRI procedures increased 4.9%, CT procedures increased 0.7%, PET/CT procedures increased 5.1% and routine imaging procedures increased 3.1%. We are proud of our revenue and adjusted EBITDA performance and growth this quarter not only because of the favorable comparison to the corresponding of quarter of 2007, but because the quarter also represented a significant improvement over our results from the first quarter of 2008. On a sequential quarter basis revenue increased in the second quarter by $12.7 million or 11.1%. The adjusted EBITDA increased sequentially in the second quarter by $3.6 million or 16.4%. This performance represents stronger organic volumes, this quarter as well as the contribution of recent initiatives, investments and acquisitions, including our digital mammography replacement program in our Mid-Atlantic region. Our breast oncology initiative or breast link and the acquisition of Papastavros Group in Delaware and then the recently acquired centers in California from InSight Health. Net loss for the second quarter of 2008 was $2.1 million or $0.06 a share loss as compared to a net gain of $1.2 million or $0.04 a share profit reported for the same quarter of 2007. Effecting 2008 net loss were certain non-cash expenses and onetime recurring items including; $690,000 non-cash gain on the fair value of interest rate hedges related to the company’s credit facilities, $693,000 of onetime expense related to payment of two settlements in business disputes, $579,000 of non-cash deferred financing expense related to the amortization of financing fees paid as part of our $405 million credit facilities drawn down in November 2006 in connection with the Radiologix acquisition and the incremental term loans revolving credit facilities arranged in August 2007 and February 2008; $602,000 of non-cash employee stock compensation expense resulting from divesting of certain options and warrants and then $647,000 non-cash expense from impairment on disposal of end of life equipment. As compared to the same quarter of last year, net income was lower due to the increase in some of the items just mentioned above during the second quarter of 2008. Additionally we continue to experience $2.7 million of additional interest expense, a result of higher interest rates on our increased amount of debt. Depreciation and amortization expense was greater in the second quarter of 2008 as compared to last years quarter due to a larger asset base resulting from acquisitions and capital expansion needs and from $647,000 impairment on the disposal of certain equipment during the current quarter. With regards to some specific income statement accounts, interest expense for the second quarter of 2008 was approximately $12.5 million. This was negatively impacted by $579,000 of non-cash amortization in financing fees and possibly impacted by $690,000 from non-cash gain related to the mark-to-market of an interest rate hedge. Interest expense was higher in general as compared to the same period of last year due to increased debt predominately from two incremental term loans closed in August 2007 and February 2008, which totaled $60 million in incremental capital leases. For the second quarter of 2008, our position for bad debt was $7.1 million or 5.6% of revenue; this is down from 6.4% for the same quarter of last year. Bad debt expense has decreased as a percentage of revenue partly as a result of the growth for imaging center revenue and improved collections. The growth from the hospitals dilutes the contribution of the billings which our performed by certain of our physician partners at several of our hospitals for which we only received the management fee. Hospitals setting regularly have bad debt expense that far exceeds that free standing imaging centers. With regards to our balance sheet as of June 30, 2008, we had $478 million of debt included in this amount. At June 30 we had a balance of $12.3 million drawn in our $55 million revolving line of credit. Since December 31 2007, net accounts receivable increased approximately $13.5 million resulting from increased business acquisitions and the credentialing of new physicians staffing. We had a net working capital of $9.9 million at June 30, 2008. During the second quarter, we entered into capital leases of $2.6 million and repaid $4.7 million of notes and leases payable. We had cash, capital expenditures, net of dispositions of $8.4 million during the second quarter of 2008. We are reaffirming our 2000 year-end guidance which are as follows; revenue $470 million to $500 million; adjusted EBITDA $100 million to $150 million; capital expenditures $15 million to $20 million of maintenance expenditures; trust growth expenditures of up to $25 million and cash interest expenses of $46 million to $52 million. Although we did not break out our guidance by quarter as we said on the last conference call, we expected that revenues an adjusted EBITDA would increase as the year progress. Our second quarter results illustrated this and we’re anticipating this trend to continue. This should be the result of the contributions from acquired operations and initiative in progress that that came online during the first two quarter and will come online during the remainder of 2008. With regards to our liquidity and capital resources in February 2008, GE ranged for an incremental $75 million part of our existing credit facilities. The incremental facility consisted of $35 million as part of our second lien term loan $40 million of additional capacity under our existing revolving line of credit. The incremental facility was used to fund the acquisitions of Papastavros Imaging, a portion of our digital mammography initiative and our InSight acquisition and working capital. With the recent increased size of our credit facilities which we completed in one of the most challenging credit markets in recent history, we believe that our current capital structure provides us sufficient financial flexibility to effectively execute our growth plans in the near term. Additionally, the difficult credit market has significantly impacted the access to capital of our competitors, especially small operators. We believe this will result in further opportunities for us in the future. That would have concluded Mark’s Stolpher’s remarks. In conclusion before we turn over for questions, I’d like to say that we remain optimistic, enthusiastic about RadNet’s future. We’ve accomplished a great deal in the short time. Our focus in the third and fourth quarters will be primarily on maximizing the benefits from our recent initiatives and investments. We are now ready for the question-and-answer portion of the call.
Operator: (Operator Instructions) Your first question comes from Art Henderson - Jefferies & Company.
Art Henderson - Jefferies & Co.: Howard, could you talk a little bit more about the recent NeuroSciences acquisition and the opportunity there as well as given us an update on any sort of early status on the BreastLink Operations.
Howard Berger: The NeuroSciences acquisition, we consider to be very important in our Mid-Atlantic and particularly Delaware strategy. The acquisition involved a centered, which has two state of the art MRI scanners, has been opened for about three years and which was owned and operated by a group of Neurologist and Neurosurgeons in the Delaware market. We had added to our physician staff in that market one of the more respected ENT radiologist in the Washington DC, Delaware market, who is now the medical director at that institute. The benefit here was that we’ve upgraded substantially; our specialty capabilities in MRI with a particular benefit or capabilities in Neuroradiology and ENT radiology. This center was approximately one mile from one of our multi-modality centers, which had all the equipment and what otherwise would had needed upgrading, so we will eliminate that. That investment could have been easily as much as $1 million for the new equipment that we would have otherwise needed to spend, but more importantly we now have what we think are expanded capabilities both in terms of access as well as a very committed relationship with a large Neurology, Neurosurgical group that is expanding rapidly to accommodate the demands in that market, which extend well beyond the borders of the Delaware state line. In addition as I mentioned we will be upgrading the PET/CT scanning. We think that the future for PET Neuro-imaging particularly for the detection of Alzheimer’s and other de-general vein diseases will be very important in the near future. In regards to the RadNet BreastLink, that is the breast cancer comprehensive center that we expanded in Orange County with the addition of breast surgeons and breast oncologist. The operation has been very positively received by our patients and the community in Orange County and the West Los Angeles area where the two centers are and we are further looking into some important relationships with pay orders that we will believe certain new paradigm for the management of breast cancer as well as ways that we’re getting more and more familiar with to reduce some of our operational cost. I don’t expect to see a lot of that through this year, but certainly going into 2009, I believe those opportunities will begin to emerge more common here as the benefit to the patients and pay orders become more and more obvious.
Art Henderson - Jefferies & Co.: Obviously, you had a very strong revenue quarter. Your guidance is 470 to 500; if we take basically flat line the remainder of the year, what you did in the second quarter add it up with what you did in the first quarter, it’s looks like you’re at the high-end of your revenue guidance. Is there something that we need to be thinking about from a seasonality factor in Q3 or Q4 that would cause the revenue to soften or not go up as much as it should on a trajectory level?
Howard Berger: Other than the fact that the third quarter sometimes is challenged with vacation schedules and the fourth quarter might have some impact towards the end of the year because of the Christmas Holidays. Nothing that we’re seeing gives us any concern about the ability for us to reach the revenue guidance that we have directed you towards. There is some seasonality, but it certainly shouldn’t have a material impact in the revenue guidance that we’ve given Art.
Operator: Your next question comes from Robert Mains - Morgan, Keegan.
Robert Mains - Morgan, Keegan & Company, Inc.: The number of scans that you did this year, it is 700 or something?
Howard Berger: Yes, the number of scans that we performed in the quarter were 771,374.
Robert Mains - Morgan, Keegan & Company, Inc.: . I heard you say that the Deferred Financing fees would go into the interest expense line and that the impairment caused because of the D&A, you also had this settlement, the 2008, 2009 settlement. When you provide your breakdown that you typically do, the queue comes out. We saw a professional increase in G&A; is that going to be a G&A type item? The settlement that you had; did you sort of put litigation to 693,000?
Howard Berger: Yes, I believe so.
Robert Mains - Morgan, Keegan & Company, Inc.:
Howard Berger: I think its better execution at this point in time. We haven’t a seen dramatic reduction in scanner capacity at this point in time and I believe that that will happen probably as we go later and deeper into the year and the beginning of next year, but I think at this point part of the increase really just better execution along with the investment that we’ve made in our centers to upgrade facilities and improve the fleet of equipment that we have, which give us better ability to access some of the backlog of patient demands that we have as well as the applications that the upgraded equipment is capable of doing today that we might not have been able to a year or so ago, or two year’s ago.
Operator: Your next question comes from Darren Lehrich - Deutsche Bank.
Darren Lehrich - Deutsche Bank Securities: I do have two questions; one related to capital structure, the other just related to some of the investments you’ve been making on mammal and PET side. Is this first on the capital structure; I know Howard you and the team are sensitive to diluting shareholders. I guess I just want to explore management tolerance even at these levels for raising equity. It seems like there maybe somewhat of a chicken and egg here despite the fact that your stock prices are probably where it should be. I guess it’s when you get your off the cuff remarks in response to that related to your capital structure and the potential for an equity raise event at these levels.
Howard Berger: Well, I think we would look at opportunities done for anything that we felt makes sense. Part of the opportunities to look at equity capital would also somewhat depend on opportunities that we think we would need that equity for in the way of further expansion opportunities number one, number two to potentially help provide some delivering which could then potentially get us a little cost the funds, if we were looking at recapitalization.
Darren Lehrich - Deutsche Bank Securities: If I could just maybe just explore a little bit the PET/CT and mammal investments that you made, is there any way at all you can maybe just share with us some of the productivity metrics that you track and I don’t know if you have any in front of you Howard, but maybe just share your thoughts on what kind of productivity levels you’re seeing in terms of scans per day or whatever metric you may track on -- in those two areas and where you think you’re headed?
Howard Berger: Well, the best example that I can give you of that is, what we’ve looked at in a way of metrics for digital mammography in the Maryland market where we had no digital mammography at the end of the fourth quarter and of ’07 and where we’ve now completed that. During the second quarter, we looked at both reimbursement and volumes in the Maryland market and we were able to track all of pay rollers and recognize about $50 increase in the reimbursement for digital mammography, analog Mammography and we were up about 12% in volume comparing the run rate for the Mammography we did in the second quarter compared to last year’s total volume. So, the benefits that we hope to get both on reimbursement and throughput, I have indeed then achieved according to the expectations we had when we initially made that investment. Using specific numbers and volume, last year we did about 225,000 mammograms in the state of Maryland. This year we’re on track to do about 250,000 mammogram, so not only did we get the benefit of increased reimbursement, but we also have achieved the increased revenue from the improved throughput that we got on digital mammography. Some with longer-term we will also get a benefit from decreased cost as a result of that investment due to reduction of film and film handling. So, we’re very, very pleased with the decision that we made to invest in the digital mammography program.
Darren Lehrich - Deutsche Bank Securities: That’s great and anything to share at all by way of example on the PET/CT side. I know you’ve made some investments there; maybe just update us, if you would on how many PET/CT units you have in service today and where you think you might be by the end of this year.
Howard Berger: Really, I’d be guessing if I said that. We really I think don’t have any more PET/CT’s in service today than we did in the first quarter; at least that I can think of, maybe one more Darren and presently I think we only are anticipating one further PET/CT going into service between now and the end of the year. We’re pleased with the progress that we’re tracking in our existing PET/CT scanners, but at this point in time we’re comfortable with that deployment.
Operator: Your next question comes from Gary Lieberman - Stanford Group.
Gary Lieberman - Stanford Group Company: Could you talk a little bit about that consolidation that you’ve seen in your markets and how it’s progressed against sort of the way you expected fast or shower and kind of what you’re looking at maybe over the next quarter or so?
Howard Berger: We’re not seeing a lot of consolidation in our markets as yet. I think there are a number of operators out there that have centers that are on the edge and that are available, but we’re not always interested in centers just for the sake of acquiring more centers and I think some of those operators will probably windup, folding-up some of their operations or being consolidate with other operators, but in our given markets, given that we’re the dominant player there really isn’t a lot of other consolidators that they could look towards and I’m speaking mostly about our upper New York and in the areas just outside of New York; Maryland, Delaware and California. So, in this we are the ones doing the consolidating, I don’t believe we’re going to see that many transactions in those markets. That being said, I have been made aware of a couple of operators that have filed for bankruptcy here in California. We’re not interested in them, but what happens with those centers is somewhat up for graphs at this point in time, but I think we’re seeing more and more of this probably, if not by the end of this year to be getting of 2009.
Gary Lieberman - Stanford Group Company: You talked in the past about perhaps seeing a little bit of benefit from some of your negotiations with payers and some of your market share; could you just give us an update in terms of where you are on that front?
Howard Berger: We’re in discussions confidently with pay orders in our major markets California, New York, Maryland about pricing as we go into the future. None of the conversations that we’re having are about decreasing reimbursement. Whether or not we get increased reimbursement, is really opened for discussion at this point in time, but certainly we expect to see more business from this pay orders as we continue our dominants of a market as well as utilization and pricing adjustments are something that we’re seriously considering.
Operator: Your next question is a follow-up from Art Henderson - Jefferies & Co.
Art Henderson - Jefferies & Co.: Howard, just go back on Darren’s question earlier. I mean it seems to me like business is going very well here; everything seems operationally that will be running on all, yet the stock is radically under valued in my opinion and it seems to stem from the capital structure issues. I just wanted to just understand real quick; would you or are you considering raising straight equity in this environment at this price or is it something different. I mean could you give us some detail around that issue, if you can?
Howard Berger: Yes, I don’t think I can at this point Art. We’re certainly going to review all of our options, but nothing at present time is anything that I feels is comfortable discussing.
Art Henderson - Jefferies & Co.: Did you give us a sense of timing or this is something that you would consider doing something financing wise within the next three months? Or is it something much further out?
Howard Berger: Well, I think part of that may windup being what happens to the credit markets. Partially, the decision to do some refinancing is certainly out of our hand given the circumstances surrounding the credit markets, which do not appear to be really improving significantly at all, so the only way potentially for us given potential the foreign circumstances to deliver, which would windup being a means to perhaps step into a less expense of debt would be a equity raise, but again at this point in time until I think we’ve really explored these in more detail and looked at the consequences of continuing with the current capital structure versus other alternatives and I think at this point there isn’t anything I can say about that Art.
Art Henderson - Jefferies & Co.: Do you happen to have, what your sort of blended interest rate is at the moment on your data?
Howard Berger : I believe it’s a little over 10% and I think it’s probably about 10.3% is what I think Mark has told me, but we can do a follow-up with you when Mark is available.
Operator: Your final question is a follow-up from Robert Mains – Morgan, Keegan.
Robert Mains - Morgan, Keegan & Company, Inc.: On operating cash flow Howard, could you give an update on where, you stand in the quarter, where we might be for the rest of the year. The reason I said the rest of the year, I recall the first quarter. There is an issue that you had some receivables and associated with some doctors who had to get re-credentials, before you know weather, operating cash flow coming in maybe the third quarter or fourth quarter?
Howard Berger : Yes. We’ve caught up with some of that. I mean it’s a constant process in our business here with that we had what we called credentialing holds. When we buy a new center and have to apply for new provider numbers for the physician groups because we’re not purchasing their accounts receivable. We have to go through that process, which is a rather lengthy one and within the case particularly of some recent acquisitions that we’ve done out here in California, we are experiencing that process, but I think this will just be a normal part of our business that we’re going to have to live given the nature of the credentialing process primarily from Medicare, which requires re-credentialing when you build under a new provider name That being said, there is significant financial holds still, some of which were there in the first quarter or end of the fourth quarter and now we have caught up with that, but it’s been replaced by new ones and then some that we look towards the end of the year to potentially unblock those prudential holds. So, we would expect the cash flow from those prudential holds to improve significantly, probably in the fourth quarter.
Robert Mains - Morgan, Keegan & Company, Inc.: What operating cash flow was just in this quarter?
Howard Berger: I have to differ that to Mark, so I’ll have him follow-up with you on that.
Operator: And this does conclude our question-and-answer session.
Howard Berger: